Unidentified Company Representative: So, everyone, look, I apologize for the delay. We had technical difficulties, each one of us in a different part of the world. I’m on a West Coast of United States, and Calvyn is on the mine site. Without further ados, we have great updates to give you. So, we’re very delighted that we’re able to co-host this call. So, without further ados, I’ll go through the disclaimer. It’s very important to notice that we’re going to make quite a lot of forward-looking statements in this presentation. So, please bear that the forward-looking information does not take effect of any items or curing after the statements are made, right? And without furthers ados, I’ll pass it on to Calvyn, who delightfully will give you the construction update and starting with the completion of a 100% of the first step of construction with the Phase 1 plant foundation earthworks. Go ahead, Calvyn?
Calvyn Gardner: Yes. So, good morning everybody, and apologies for that. We were trying desperately to get online but it’s really struggling, but we made it now. So, that’s great. So, look, a lot to be said. I need to be very quick on some of these. But, I think most people have been following the construction updates and the releases. So, here you are looking at the photo of the earthworks, which is now complete. We did obviously have some issues in December with record rainfalls. But we managed to catch that up, and now we really are moving into the civil. So, we are mobilizing the civils at the moment, equipment is arriving at site, and we expect the civil’s actual physical foundation to be going into late April, early May, based on how fast the materials arrive here. [Technical Difficulty] maintaining steelwork and rebar and [Technical Difficulty] are arriving. And as soon as they arrive, we will move forward, basically starting the primary crushing area. So, [Technical Difficulty]. Commissioning, as I mentioned earlier, it’s initiated this year in December. And then, I think the big thing is that we fully funded. And on that, we have all the long lead items, ordering currently [Technical Difficulty] one item -- spent over $8 million. So, it’s moving very well. Next slide, please. So, on the 43-101 and with press release this morning, so in terms of the first point and updated Phase 1 feasibility, I think this is really crucial with an NPV of $1.6 billion. And excitingly and I think a lot of people on this call know that obviously the potential’s always been here, but we’ve now increased the reserves of the project to 34 million tons, and it is a very sustainable project, and we are hoping to do some more further reserves this year at an average grade of 1.4%. And I’ll talk a little bit more about Phase 2 in this presentation to take us upto a capacity of 450,000 tons. Just to remind everybody, Phase 1 220,000 tons, Phase 2 grew almost record at doubling capacity to 450,000. The increased Phase 2 mineral resource of 29 million tons excitingly measured and indicated 25 million tons of 1.4%, and we have inferred resource of 1.4% at 4 million tons. So, very small amount of inferred resource. And then to say, on Phase 2, we’ve completed -- probably bit of a surprise for many here, but we have completed all the metallurgy on Phase 2, all the work has been completed by SGS Lakefield and actually completed the Phase 2 plant design. That’s why I can say here comfortably the plant is almost the replica of Phase 1 and very good recoveries again at 60% average recovery. Next Slide?
Unidentified Company Representative: So, to summarize -- yes, just to summarize, we tripled reserves. We completed the metallurgy. So, we can do potentially a second plant, the moment the feasibility study warranted. But it’s looking very good in the right direction, right Calvyn. So, with that, we go into the ESG updates. I mean, we would not be here if we hadn’t done the work so far over the last six years. We had a huge focus on ESG. And that manifests itself, even in the way we’re carrying on the construction. We have over 300 people on site. That is one of the poorest regions in the world. The IDH is like Bangladesh. And we managed to employ 72% of the very technical workforce sourced from local people. They were not living locally, but they were local people. How so? We did a big homecoming program where we publicized job openings throughout the country and the state. And we can proudly say that we brought a lot of families back together, basically building back, reconstructing the social fabric of the region. A lot of the men, qualified men who leaved the region to work elsewhere and we brought them home, which has a tremendous social impact. Moreover, we’re also very proud to say that out of the 315, [ph] people were actually living off our food basket. So, these were technical people. They were living on food aid. They’re now employed by Sigma. We’re planning to increase the workforce to 500 once commissioning starts, and we are going to follow the same ESG guideline of prioritizing technical people from the region that are living elsewhere or living in the region. We also doubled the size of our meals program because we have to think high and we have to think about the vulnerable. So, we have been addressing vulnerabilities since COVID and we’re going to continue to address it until the pandemic is finally behind us, which is not really the case yet. So essentially, we are doubling the program. We served 1.2 million meals. We’re going to double to project to serve 2.4 million meals by the end of ‘22. We also provided disaster relief for 400 people that were living riverside during the floods in January. And we continued with COVID campaigns. So, this is the third campaign. We’re now at 36,000 liters distributed for two areas, which cover over 240 medical appointments a year. So, over 20 medical appointments per month. So, this is the slide that you all know. The big news on the slide is essentially liquidity. We’re finally getting to liquidity levels that allow Sigma to finally react as a company as a stock to all this execution we’ve been doing on the ground. We reached levels of liquidity that went up to $16 million a day recently. So, we’ve been reaching our highest liquidity levels on average daily traded volumes ever in the NASDAQ. And this is something that makes us very proud because it was exactly the driver behind a listing at the NASDAQ. And as you all know, the crowning achievement of last year was to have BlackRock managed funds to join the roaster -- the register as our second largest shareholder, and given that they’re fundamental and important voice in the ESG values that are so dear to us. We widened our research coverage. Bank of America initiated coverage at the beginning of this year. And more importantly, we were selected at one of the 50 stocks to watch globally throughout sectors related to liquidity scarcity -- related to some scarcity thematics selected by Bank of America.  With that, I’ll send it back to Calvyn.
Calvyn Gardner: So guys, so in here, we’re really talking about the planned construction and milestones. So, workstream Phase 1 with pre-construction, which we started at the beginning of year essentially was 30% of the detailed engineering or so called [Technical Difficulty] project execution plan which was commence. And this is basically finalized end of November, where we then initiated construction with earthworks and then moved into where we are now moving into civils. So, I think just a quick summary of milestones, I’m not going to talk too much about that. But, essentially on Phase 1, we’ve done a lot of geotech and hydrogeology. And then the main issue in terms of construction was the degrubbing that we started and earthwork. So with that, then the detailed engineering which [Technical Difficulty] of the 3D model. Currently, we are over 60% of the 3D model. But essentially in this phase, we completed 30% [Technical Difficulty] and then the project execution plan which I mentioned was finalized. The EPCM contracts with Promon is complete with Primero acting -- doing the detailed engineering and acting as the construction advisor and will be responsible for commissioning. So, it’s a joint effort between both Promon and Primero, essentially from all the way back in the field to where we are now in the construction phase. So then on the right, you see specifically the commissioning of strategy to now move into commissioning at the end of the year. We’ve completed the earthworks. We’re now moving into the civils. And the civils would be 8 months. So, clearly what we’re doing is the plant [Technical Difficulty] basically area parallel. As I mentioned earlier, we start in what we call area 200 which is the crushing area that we’re now building. And then, engineering that goes with that is 45% complete. The process, in terms of -- when I’m saying complete here guys, what I really mean is in terms of construction drawings, right? So obviously, done the design, but the numbers I’m writing here is issuing construction drawings. So, 71% of the process is designed and construction drawings issue, 65% of mechanical, 70% of civil -- 70% of piping valve which is one of the last things we do. And then civils, as you can see 65%. So, just to give you an idea these numbers in terms of where we are in terms of physically constructing, like constructions drawings, steel structure, instrumentation, and electrical design, construction assembly. So, you can take it that the whole thing is [Technical Difficulty] but these are now issued. So, [Technical Difficulty] on equipment [Technical Difficulty] that will be delivered, et cetera, et cetera. Construction, fabrication, civil all that. So, as you can see, we got down the line, now in terms that. Next slide, please. So, here is very quickly the time table sort of just jumping to where we are. So, Q2 2021 where the design confirmations and these drawings are taking place. So Q3, we keep on -- sorry, where am I now? So, all the -- sort of Q1, Q2, Q3, all the -- Q3, Q4, the 3D model up to 30%, and then implementation of the CapEx. So, then we jumped into this year basically Q1 of 2022. We started ordering long lead items. I think I mentioned this on previous call, sort of late last year, even before the construction decision because the really long lead items became longer, and more [Technical Difficulty]. And I think it has a lot to do with factories obviously closed down, factories then had backlogs. And obviously this increased the long lead times. So, they not only got longer, they got [Technical Difficulty]. So, we were forced to order long lead items all the way back in December, all through December and January. Just to get an idea, I think we started with 13 long lead items and ended with 34. So, it was a significant increase and literally same equipment just because of what happened with COVID. Earthworks, we started end level last year and has completed now. You are here, as we see and civil construction is happening and electromechanical engineering is continuing. And as we can see the commissioning end of this year. We planning a 54-day [ph] commissioning, so taking it to the max in my view. But, I’d rather say that is here and now than anything else. Okay. Similar type of slide. Ana, do you want to talk to this one or...
Ana Cabral Gardner: No, no. It’s mining, right?
Calvyn Gardner: Yes. So, similar slide, where are we now, I’m not going to really talk about this previous work. So essentially, we are now pre-stripping. There is two things happening here in terms of mining. The main thing is really the pre-stripping. Also, -- it’s not really showing here the fact but there is three things happening in this area. We’re pre-stripping the north pits, we are building the whole roads, and building the ROM pad. So, ROM -- it’s all happening in parallel in fact. And in the mining area, that is now specifically happened, and we’ve developed the area where we are putting basically the gas station, which obviously -- but anyway for now is also being developed. So, there is three things happening in this whole sort of covering pre-stripping scenario is that. And then essentially once pre-stripping will start, basically the mining material and putting material on the ROM pad ready for commissioning, at the end of this year. So, we’ve always said around about 4 to 6 months pre-stripping, we will do that. The ROM pad and -- obviously much quicker than that but still they all have to be placed before I can put materials under the infrastructure. So, that’s what’s happening guys in this area. Okay? Next slide? Okay. So, construction update. I think what I like about this slide, it’s not so much the writing and I think give you some idea of what’s actually happening here in terms of size, right? So, this is over 1 kilometer long, just to get an idea of what’s happening here, and this is just Phase 1. So, this is a big construction. And as you can see, the earthwork is sort of coming to an end here. And right in front of us here is actually the primary crusher. So, you can see this sort of oval shape, half oval shape here is literally where the primary crusher sits down. And then below that is where the secondary and tertiary crushers are sitting. And then, as you go right down, there is where the DMS plant itself is sitting. So, this is the plant, infrastructure, water plants, and everything on the left of the screen. But I think, it’s quite nice to get an idea of the size of this. So here, where the grass is in the front is where the ROM pad will be and where we’ll be feeding then this crusher that is sitting there. So just to orientate oneself with this drawing. So again, on the left, you can see similar percentages what I talked about earlier. I want really go back into that. And as I say, we put in the cement that you can see here in this drawing, or in this photo is drainage. We were -- as I mentioned, we were having record rains here. So to protect this earthworks, we decided to put the drainage in early. So, the drainage has gone in, and the drains just by the way, goes all the way down to the bottom, where we have -- and then pump water back. So we’re talking about rain water now, pump it back and use it in the pond, so more sustainability here. It’s the maximum drainage of this area. That is the lowest [Technical Difficulty] and we’ve now basically provided something to there. And we’ll capture all the water, 100% of the water coming off of this site and down in that some -- you can see right at the bottom where those trucks are sort of in the distance.
Ana Cabral Gardner: And so, again an important message on this slide as well is the process design advancement. I mean, typically detailed engineering goes all the way through the end of construction, right, Calvyn, but the fact that the team advanced -- the engineering team advanced on process design is what allows Calvyn and his team to have some certainty about the outcomes of the processing within the DMS Greentech processing plant in terms of recovery, in terms of the flow, in terms of what are the pieces of equipment that need to go in adjusted, fine tuned and calibrated in order for us to achieve what we call the feasibly estimated recoveries?
Calvyn Gardner: Yes. I think -- yes, and I think this is probably the most important point. It’s obviously a slower start when you do it this way, but what you really have done is we built -- way more confident, right? So, you’ve gone into that level of detail that you know that this design, it’s not something just trial and error here. This is all the best of what we think. This is the site well tested, well designed, and this plant is -- 30 years in my view. And it’s really based on real solid engineering and [Technical Difficulty] for an EPCM, quite frankly, most places unheard of. So, yes, so that’s what it really means for us.  So, on the -- similar photograph on the left that we see on the right, sort of -- the one below on the left is just you’re essentially looking at the -- again from the other angle of primary crusher, probably more important than on the right is the layout. So, on the left part of that earthworks is the plant itself. I think you can sort of see the line, and on right really is the infrastructure, plant infrastructure and non-plant infrastructure. So, non-plant infrastructure really talking about services such as admin, workshops, canteen, change rooms that sort of stuff, obviously, weigh bridges and everything else quite fast. And bottom obviously the crusher, and here is very clearly you’re looking at the primary crusher up to the top -- we’re in the earlier drop down into the tertiary and secondary -- secondary and tertiary crushers that sit here on your left, and then we swing it back up and it goes to what we call the feed then, which is then an automatic feed into the DMS. So, this plant is fully automated. There’s nothing manual here at all, anywhere, by the way. And so, when you’re running this, you don’t have people sitting here next to these phase. You’re running from one central station.
Ana Cabral Gardner: So now, I’m going to stop and Victor is going to put a video quickly of where we stand on the 3D plant. We can put a video at the end. Got it. Okay. So, Calvyn, do you want to narrate it?
Calvyn Gardner: Sure. I can. Okay. So, here we’re looking at the south pit and north pit to the left -- access the south pit, you can see the river [Technical Difficulty] ESG. And just by the way, it is about 30% behind I couldn’t -- this river and we decided not to. And that’s the north pit which is part of the pre-strip. You can see the whole roads that we’ll be building, bridge. Here you see some of the waste part. And here, we’re looking now essentially west to the pit and we’re now moving towards the mine site. So that’s the area -- is very quickly, but [Technical Difficulty] to the right is where the mine is -- basically we’ll have these diesel and truck maintenance and stuff like this. And then you can see the plants towards the back, where -- you can see coming at these whole roads as you can see coming on to ROM pad. We can basically [Technical Difficulty] on that one pad, and then feed into this plant. And here, basically the primary, secondary and tertiary crushing plants, sort of coming in into the feed bin. This feed bin will hold eight hours of feed. So, what we’re trying do is have a constant feed into the DMS, and then we have a -- basically have an overflow, if we need to use it. And here you’re coming into the DMS, the DMS has three lines, where we have coarsefines and ultrafines feeding the plant.  So again, now we’re looking south. You can see the water plant in the center there. And so just this slide, I think we have another slide. You can see the second Phase, which we’re literally ready to go into as well. Water pipeline all the way back to the river there, as you can see to the north, which is the Jequitinhonha River, we pumping them up to the plant site.
Ana Cabral Gardner: And sewage water. That’s a very important point.
Calvyn Gardner: Well, it’s contaminated with -- sewage water, contaminated, so we do clean it up. And obviously, we then put for industrial use here on the plant side. And then, we sort of head back south across the river itself. So, [Technical Difficulty] I think anyway give an idea.
Ana Cabral Gardner: So, back to the presentation. The next slide is, the like studies detailed engineering, I think Calvyn said quite a lot about it. But I think it’s just to kind of to consolidate what we discussed. The reason why we have been so precise on CapEx and so precise on the building plants is because we devoted the time, the money and the energy to engage in detailed engineering, project execution plan, and then ‘‘CapEx’’ from actual suppliers. So, that we have FEL3 level of accuracy, which we published today. What does that mean? It means that, we didn’t start building just on basic engineering. We started this construction with all the knowledge that we needed to basically take it to completion successfully on schedule, on budget. And more importantly, we tested the flow sheet and the processing flow sheet through that previous chart you saw at 70 plus percent of the detailed engineering on designing to the level drawings the flow sheet was completed. We knew -- the pitfalls and the successes of each one of the steps in processing. And that’s what allowed us to go about and adjust that on paper before we actually had this plant built. And that includes for instance, something that Calvyn will talk about it later, but the dry stacking of tailings. Sigma is the only and first lithium company in the world doing dry stacking, a 100% dry stacking of tailings. So, we had to test those circuits and other things such as capturing more recovery on the fines by adding into DMS fines. So detailed engineering pays off in moments like now. I’ll go straight into the commercial update. And I think I’ll go back and forth. This is the state of the market. I think it’s pretty clear that there’s a disconnect between the EV, demand and battery buildup and the raw materials capacity to supply these various raw materials, including specifically lithium in environmentally and socially sustainable way, in line with what the consumer expects. That has resulted in real volatile market times for pricing, to the point where, when you talk to our clients, and these are the largest players in the industry, because we sell directly to battery makers and have a dialogue with battery makers, it’s hard to find a base index that makes everyone happy, because there isn’t a base index that reflects the current market conditions in spot. Sometimes it reflects volumes, sometimes it doesn’t. So, the picture we got here is a derivative of the situation we got here, right? So, as a result of that, given the quality of our material, I mean, ESG notwithstanding, Sigma’s material represents about 30% savings into downstream because of quality. One needs 7.2 tons of this material to produce a ton of high-purity hydroxide. You would need about now 9 plus tons, 9.5, 10, tons of comparable material to produce the same ton of high-purity hydroxide. Therefore, we are sitting in a very comfortable commercial position and we were able to strike our agreements with LG and with Mitsui, being priced agnostic. I mean, these are floating prices. They’re tied to market conditions at the time of the shipping. In the case of Mitsui, -- was aligned based on Asian metals bulletin, which is basically a spot price for the concentrate. So, we sit on this very good position of full exposure to pricing upside, which frankly is where we should be given that we’re going to be able to deliver material into this very tight quasi deficit market environment. So, I’ll lead into this section. We’re going to talk about the press release published today, which was the reason for the delay of the call where we actually published the update of the Phase 1 feasibility study. So, we updated it to reflect all that work we did, detailed engineering, the additional test work, and then obviously, the current economic parameters that we learned throughout last year. So, we updated CapEx to reflect all the FEL3 quoted estimates and all the learnings we had on the tweaking of the flow sheet. Again, no surprises. So, the confidence is coming from quoted CapEx, and it comes from the conservative -- conservatism of FEL2 CapEx, and you see practice, right? Our CapEx published is $123 million remaining. We have published a total CapEx of $113, two years ago, so very much on mark. And that’s how we expect to continue for investors. We updated the operating cost to reflect changes in the cost components, diesel shipping quite a lot. So now we are expecting at operations gate costs of $357 per ton at the processing plant gate, meaning mining, processing what have you before trucking and shipping, CIF China of 450ish.  So then we increased recovery confidence. So we’ve done additional test work for both Phase 1 and 2. So, recoveries are now to a much higher level of confidence due to variabilities. And we updated the mineral reserve. We almost - it’s 2.6 times bigger basically because of Phase 2. More importantly, we reflected the current market conditions to pricing, but we’ve been using benchmarks. So, we’re using on a curve of benchmarks. So again, very conservative life of mine average, I think, well below current levels. And then, we got optionality, which is something that’s very important. The current markets are being very agnostic when it comes to cutoff. So, at our cutoff grades considering the extra productivity, we would be at 250,000 -- 251,000 tons per year, right? If you were to do standard cutoffs, it would be two 242,000. And then market delivery type of cutoffs 5.2%, it’ll be 265,000. So it would be a discussion with the clients of how much more lithium they want versus the cutoff grade. Because with our purities -- remember, there’s always extra productivity, no matter what the nameplate grade is. But we’ve been doing all the map on 6%, which is the base product. So, the map 230,000 tons is on 6% battery grade sustainable lithium. And with that, I’ll pass on to the next slide, which has got a bit of the economics. I think, I’ll point to the right. The right shows how highly correlated to prices our NPV is. So, we ran the 43-101 allowance here, which is the base price of $1,954 plus 20%. Current spot -- it’s not really spot -- current volume shippings are happening at $5,000. ALCAM [ph] in Australia published a note to that regard. So, you just can do your math in terms of how sensitive and how exposed to pricing we are, based also on what I just exposed earlier regarding our commercial agreements. Another interesting point that we’re going to talk further in the next slide is the average annual revenue at these base prices, not at current prices, it’s about $0.5 billion, right, which generates $273 million of after tax free cash flow. So it’s quite cash-generative from where we see it. Here on this slide, what’s important to highlight is the price curve we used and how we derived it off benchmark lithium hydroxide. Cal, would you mind muting your mic? Because I think it’s echoing. Sorry. Thank you. So then -- so when you see the hydroxide curve, we actually -- the discussions have been around calculating off LME, so that we actually support the industry transitioning into one index, right? So, when you think about the percentages applied to it, they vary from 7% to 9%. And given the quality of this product, we could command a higher percentage, but we banded it. So, we showed you both. And we used the -- we used the low band anyway. We used the 7%, which is quite obvious. And few were coming well below the current market levels, half to be precise in terms of the price we used to calculate the updated NPVs. Again, volumes that we ship in Australia today, $5,000, we’re using $1,900 to do our math at this point. So there’s still quite a lot of exposure to go here -- market continues to be tight for the next two to three years. Payback on this is something I forgot to mention -- is four months. So that just shows that at this level of cash production, given our manageable CapEx, we can pay back the investment in four months.
Calvyn Gardner: Yes. And I’ll just add, it’s Phase 1 only.
Ana Cabral Gardner: Phase 1 only. All of this is Phase 1 only, which shows how robust this project is. We haven’t yet factored in Phase 2 which is coming. So, Phase 1 only levels here are -- these are thousands of tons of lithium concentrate. So year one, 235,000, again, 6%, but that could go higher depending on commercial discussions. And then you, we show the volumes all 6% throughout the life of the mine -- the deposit. Here’s another interesting slide. We brought it back from the visibility study for Phase 1 in September, and we updated it. On the left, you see the annual average economics on two bases. On the left you see every year, what’s the average, what’s the -- let’s say, the income statement of the company using the average annual price, right, average annual. And then you see all the numbers that will lead to after tax earnings, right, all the way down here, right? So then, you have got -- which is 290 million, right? EBIT is $340 million. We didn’t do the DA because of 43-101. So you can estimate depreciation to EBITDA here. So then, here you see the per unit costs, which is quite interesting. So, you see the gross revenue, meaning per ton, right? One ton, $1,954 achieved for that tonnage. And then we translated all the items on the income statement on a per ton basis, which just shows how profitable this company is in this current market environment. So, if we were to ship this today, it would’ve been replaced this for 5,000, and then you do your numbers. So, you can play around with the numbers if we give you this blueprint and build your own models, and that’s what we wanted to do with this slide, just like we did on the DFS for Phase 1. This materials is going to be available to you, so you will have it. Here is the CapEx. So with economics, such as these, I mean, no wonder we are fully funded, right? We got a very solid cash position. We disbursed quite a lot already on construction. We keep on disbursing. The disbursement rate is going to go up now significantly, with civil and electromechanical build. So, in the second quarter expect this number to be a lot higher. Moreover, we still have backup financing. So, we have very healthy discussions with SocGen along the lines of the project finance. We still have the debt as an extra financing tool, because we plan to release equity to potentially initiate Phase 2 on equity, if feasibility for Phase 2 warrants. And that’s what we wanted to leave here for you. We are planning to release some of that cash, some of the equity into the line second that talk Calvyn will talk to a bit more about. So, very comfortable funding position. Now, on to Calvyn on the releasing equity to an additional growth opportunity. Unmute.
Calvyn Gardner: All right. So this slide is the one you really saw in the presentation there on the video. So Phase 1 is clearly the brown, the brown look with the -- green crushing, power station, plant infrastructure and non-infrastructure as well, concentration plant, crushing plant from pad. So, that’s what we are building. And then, you add on essentially for Phase 2. So, where are we with Phase 2? We degrubbed that whole area completely, and essentially, we are able to start the earthworks for this area. So, we completed all the earthworks for Phase 1, which I showed you. And the same company’s actually doing the civils. Now the civils essentially is over 8 months, as I mentioned and then will be completed, basically finalizing this form infrastructure section at the end. So, we’re currently doing the crushing circuit and then you got to do the concentration and power plant, and then finally this plant infrastructure and then -- which you can’t see, on this slide right at the bottom. That company then will automatically start doing the earthwork. So, I don’t have to demobilize anybody else. So, the idea is that at the end of that we will continue with the earthworks, which essentially is the end of this year we will start doing that earthwork. You can see it’s not much at all, compared to what we’ve currently done. So it’s a add-on the probably 20% at best that we will do and we will finalize. So that we are actually planning this year. So, in terms of that and then essentially go into a bill, if we get that already. This is obviously provisional, but this is the idea that essentially would be going into civils first quarter next year there. So what I’m really doing is keeping the same company going, right? We’ve done earthworks, we do civils, they move across, do earthworks, do civils, and then they go, right? So that’s the plan here. And that’s -- in terms of the structure. So we’re setting ourselves up already to run that plant. And on that basis, what do I mean? So this power substation that you see here is already designed to have that plant up there. So that is designed for that. This probably infrastructure, water circuits and the like to feed that plant all happening now. So we put more CapEx into this Phase 1 in because of we’re pretty comfortable that we will be doing Phase 2. So, it’s much more difficult to retrofit. So, the substation is designed now for 12 megawatts. We put in a 12 megawatt transformer -- both these plants, and we obviously have a standby transformer, but that’s another discussion. And then the -- all important is the -- Phase 1 and Phase 2, and all the design that goes with it. So, that’s all happening currently. So, it’s a really easy add-on what I’m saying here. There’s no big changes anyway here quite frankly to old design upfront. And literally, what I have to do is -- plant down in place and wired it up. And the substation will have cubicles ready for this thing to go. And those cubicles will be completed and -- substations and -- Phase 1 will feed Phase 2. So that’s what we’re doing here guys.  Next slide, Ana? So, near-term production with significant organic growth. I mean, you would like to talk to this slide, correct? You’re on mute, Ana.
Ana Cabral Gardner: Sorry. We can do both. But basically, it’s a quick slide. It’s just a recapping of everything. I mean, Phase 1, we’re initiating production of 230,000 tons per annum of 6% battery grade sustainable lithium. That was within -- less than 12 months. So, it’s equivalent to 34,000 tons of LCE. Again, this number could go up to 265,000 tons, assuming we would ship to current market specs. So, then as Calvyn was discussing the previous slide, we go into a combined with Phase 2 adding 220. So, the combination here could be 450,000 tons of 6% battery grade sustainable lithium. And again, adding another 33,000 ton LCE. So on a combined LCE basis, it could beat 67,000 tons LCE, again, us doing Phase 1 and 2 on a sort of back to back basis. And then, that’s what Calvyn is going to talk about next. I mean, we can unlock further growth on Phase 3 with the ongoing drilling company where we’re going to combine existing resources on our current resource profile which is now 59 -- 58 million tons with additional further resources to be added further to our 43-101 mineral resource. So there is a Phase 3 on the way. So, Calvyn let’s wrap up on Phase 2.
Calvyn Gardner: Yes. So I think just one important point that I think shouldn’t be missed. When we talk about Phase 1 and Phase 2 and Phase 3 resources and reserves, Sigma’s strategy currently is we’re only looking at open castable resources and open castable reserves. We have taken a view, we don’t need to look at any underground potential at the moment, it’s something we can do in the future, while we have all these open castable resources available. So, it’s not that won’t be done, that I’m not saying. But what I’m saying is it’s always a case of low hanging fruit, but opening up open cast mines is a lot easier than underground mines. So Phase 1, Phase 2, Phase 3 quite frankly, even Phase 4, when we get there, all would have underground potential. But right now, we just think we have bigger fish to fry going after what I would call have low hanging fruits easier mines to operate obviously [Technical Difficulty] and these sort of things. So I know there’s a number of operations looking at purely underground, but I don’t want people to think that that’s something completely ignored by Sigma. We’re well aware of it. And it’s something obviously of potential later, but right now we have some -- I have over a 1,000 [Technical Difficulty]. And we prioritize, as I said many times, 13 of them, all would be prioritized in the terms of open castable. So all of them I would like to work through before coming back and looking at any sort of under the ground stuff that we would do, which I could -- we could clearly, everybody knows they’re open and underground fact, but it’s a future target. So just please keep that in mind. So coming back now to what we call Phase 3, essentially we’re targeting three deposits. One is already in the 43-101 resource estimate, the other two are not, although we have explained something about the work we are doing there.  We’re just coming off a major campaign on that. And we think we will have a resource now earlier this year. So just checking the boxes in terms of milestones, that everybody is on the same page. So coming back to Phase 2, Phase 2, we’ve done environmental impact. We have completed the metallurgy, the DMS test work completely, both PFS and DFS, by the way. So we’ll show the slide a little later. And we completed the mine plan for Phase 2. So that’s all done. We updated on Phase 2 all the mining OpEx processing costs and CapEx of everything. So mining OpEx and processing OpEx as well as CapEx for both, and we will publish the PFS this quarter. The DFS, we’ve also completed all the metallurgy on that. So everything -- all the tests also completed by then. That we will publish in the third quarter and I’ll show a slide what we still need to today before we would like to publish. But essentially we will publish a DFS on Phase 2 in the third quarter. And then obviously, as I said, once we’ve done that, the idea would be very quickly in the fourth quarter to start earthworks, as I mentioned in the previous slide. So, I think from this line, it’s quite nice to see how this is now panning out and how the plan is proceeding.
Ana Cabral Gardner: And the point metallurgy you made earlier, right, that we’ve done metallurgy to DFS level, hence the speed because we needed that to test the flow sheet in the circuits, right?
Calvyn Gardner : Exactly. So, that’s where we are. Next slide? So yes, so here we have the PEA. So, Phase 2 update -- Phase 1 and Phase 2 update I am seeing here. So, PEA was done for Phase 1 last year and filed, which essentially had a mine life of 13 years and LCE of, well, you can see, 34,000 ton to 67,000 tons, maiden resource of 21 million tons of 1.37%, with basically measured and indicated 25 and 3.8. So, PFS, what have we done now? So essentially the DMS work, as I mentioned, we have done PFS level and geotech and hydrogeology. And we have completed the mine plan and raised at the bottom as we showed [indiscernible] in the second quarter. And then, [Technical Difficulty] now on PFS. So we have completed the metallurgy and plant design. We need to do a little more work on the geotech and hybrid geology in terms of the geotech. So, we need to do some more geotech drilling and some more hydrogeology. There is no stream or anything involved here. So, it’s a little easier than what we did in Phase 1. So, I’m not expecting anything here, quite frankly, major differences, but it could have some smaller differences that could affect the mine plant. And then, we will firm up on that. But then we will publish that status in the third quarter. And as it’s been stated, I would like to start earthworks at the back end of this year that last sort of 20% on the end. And as I said, we have degrubbed the whole area. It’s ready to go. There is no reason not to do it, and we’ll do it. So, I’m pretty confident that’s how it is. And hence, we took the liberty to set up the infrastructure that’s going support that plant is actually now quite frankly built in advanced. And I’m talking from basically power and water. Okay. Thanks. Ana, next slide?
Ana Cabral Gardner: Phase 3.
Calvyn Gardner : Yes. So, Phase 3, again, this is a very old slide. I’ve been showing this from the beginning, giving people an idea of potential. This is the whole idea of these slides, right, just to show people how and when [Technical Difficulty] go back. So on the left, you can see the four properties that we own, the Genipapo, Grota do Cirilo, and into focus at the moment Santa Clara and Sao Jose. And I am planning to do some drilling down in the Sao Jose area this year still -- but that’s another discussion. So, we will start there. And to remind everybody that also impact cost of this mine, so it’s a place higher and priority. But in Grota do Cirilo, when we started, you can see the Phase 1 in the top of the yellow line, and essentially the bottom line -- bottom yellow dots at the bottom where we have much of this work is in the 43-101 as was thought.  So, Phase 2 going into this -- and Phase 3 will go into this, and quite frankly, possibly Phase 4. So, that’s going to be on. We are doing more drilling on -- I guess have to do some -- so all of the [Technical Difficulty] the newer people on this call, are all [Technical Difficulty]. So, they explain it to do and we basically have an RC drill -- and it’s what we call our yes, no drill, where we map one which we think a worthwhile and obviously would like to check. And we then punching holes in those to get the idea of size and grade. That’s all it is a yes, no drill. But if we liked it, then we actually proceed with diamond drilling. So, there’s a huge amount going on in this area. And that will spread into that area to the south this year, still as well. So again, Sigma, with all this is looking at open castable potential. We are not at this stage really focusing too heavily on underground potential. It’s basically marked this potential, and we are looking at that but at a less of a priority. Okay. Next slide? 
Ana Cabral Gardner: And that’s the detail. I think what’s important here is to highlight that at the bottom, it’s really a cluster. That’s been the focus of Phase 3 and that’s why we talk about it so confidently, right?
Calvyn Gardner: Yes. It’s a major question down here. So, this is essentially Phase 3 running along this, I forget exactly a little bit here, but this is over a 1.3 kilometers strike, exactly three or four other deposits that we basically didn’t know too much about actually ran into them. It’s [Technical Difficulty] deposit completely, although indicated by the earlier -- right here at the bottom near the river, and very good grade as you go north. So, this is a real potential mine. We have intersections here, guys, just to get an idea of 60 meters thick. So, it’s a serious deposit, not all areas. It varies like any other type. But we have over 60 meters here in width from this thing. And again, similar to these things, gently dipping down at about 40 degrees, grades running around about 1.3% 1.4%. Yes. So, it’s a very interesting deposit for us. It stuck in some of the smaller deposits the team [Technical Difficulty] actually mining -- all joined into this. And we think another one is coming in here from the west, which I’m following up. Here, you can see sort of shown here in green. We think another one is coming in here. You can see of the marks. And we’re basically following up here, the one running here as well. So it’s a real big cluster going on here. And we think they all join up quite frankly. This one here on the right Phase 3, we’ve already run a 500 meters further down and it’s a higher grade and thicker. So it’s become really more interesting for us. So, this is all really happing down in this area. We have five drills that we get guarantee to give you an idea of what’s going on.
Ana Cabral Gardner: Do you want to talk about this being part of this, and this is -- so the people situate themselves, this is Phase 2.
Calvyn Gardner: Yes. So that’s Phase 2, and then getting an idea of Phase 3. So you could see the one coming up, one which “NBC” [ph] here, running up straight north. Then you could see Phase 3 on your left, just next to do Cirilo, we think that could be joining and then running from West to East, and then another one here on the right running parallel to the -- dipping again towards the east Phase 3, which is also this [Technical Difficulty] this 43-101 currently. So, this is a cluster going on here, and we’ve always talked about, I think I highlighted for many times, but this is now a primary focus basically. And we again took simple things, taking the first phases, Phase 1, really the low hanging fruit, where they were producing it and sending it to the ceramic industry, both in Europe and China. Phase 2 was in very [Technical Difficulty] for us to track in which we’ve done now. And then Phase 3, slightly more complex, but it’s bigger. So you can see what we’re trying to do here. How they will mesh together quite frankly, we haven’t got the yet. We’ve been trying everything and we will. If you look here in the top, that there is whole the mesh of the lots, but that’s where we are. So I don’t want to bore people with it, that’s just a thing what happing, it’s a lot happing in this area. Okay. Next slide, Ana? So, the milestones we completing now 30,000 meters of drilling. That’s a big number. If you consider, up until now, we get 42,000 meters of drilling. So, we’ve almost doubled the drilling period in Sigma. And you can see why in terms of what’s happened. We will complete the block model of that first phase by the middle of next month, so the 10th of May. We will have the block model for that bottom section, for the first part of the bottom section, not for the whole lot, but for the first part. And then we will update the resource in Q2 with that first part. It will obviously continue, as I showed this 3 matching, and then we’ll just give you the one. And then, we’ll publish in this area for this first block a PEA also in Q2. So, on that front, we’ve already sampled material to go to Canada, to putting through the metallurgical -- first phase metallurgical test as we’ve done in Phase 1 and phase 2 for this deposit as well. So, a lot happen in Phase 2. It’s not just talk, there’s a huge amount of effort going in now. So, quite frankly, Phase 2 is done and dusted. Plant is designed, mine plan is designed, we’re doing the geotechnical, tick the box, tick the box, I don’t think major modification. This is now the all new -- the new lady [Technical Difficulty] so to speak and we’re driving this now forward. 
Ana Cabral Gardner: So just quickly on the ESG update, I think we’ve talked quite a lot about it. The actions have quite a lot of breadth. I mean, we focus on the vulnerable. We supported the community with COVID for almost two years. We’ve done it three times. The first one in March 2020, second in May ‘21, and then we did it again now for Omicron. So, we are clocking in about 36,000 liters of disinfectant total delivered, three tons of sanitizers covering the same, exact 16 clinics, first care centers that cover 20,000 medical appointments a month, to a total of 240,000 medical appointments a year. So, it’s real support and educational because we’ve been playing a key role in prevention from day one. From March ‘20, we delivered a prevention kit in a prevention two pager with pictorials for even people who couldn’t to learn to learn that prevention was key. Then during the floods, this is what we’ve done. We delivered 11,000 liters of water over a very short period of time that got extended to 45 days, but it was challenging. The whole region was flooded. We got 11,000 liters of water there for them to have water to drink on new years and food. So, we covered 400 people on disaster relief, and then we continued with the zero hunger action. We had started it with 7,000 food baskets. The community matched it. So, 11,000 total. Our 7,000 served 1.2 million meals. If you add the community, the number will be way higher. So, we started a whole, we call, social entrepreneurship with the help of the Rotary Club of Araçuaí and we are very proud of that work. And then, we decided to double it. So, we are hoping that the Rotary Club will join us. And again, same impact, so clocking over 2.4 million meals over two years to help the vulnerable fully recover from the pandemic. And I think one point to add, it was when working on that action is that we learned about the widows issue. I mean, a lot of the women in the region were -- these were single mother household, supporting the kids because the man had left the home to seek employment opportunities elsewhere and they would be first sending support, but then later on they would just not even support, ties were cut. So, these single women were left supporting their kids and they would go hungry, because they were unskilled during the pandemic. So, it was that work that made us so aware of the need to create a homecoming program for this technical -- qualified people, this whole brain drain or -- technical qualified workforce drain that their region suffered due to lack of economic opportunities. So, that’s why it’s so important to continue that work in terms of reconstructing the social fabric and bringing back, these skilled workers back home.
Calvyn Gardner: Yes. And just maybe to add two other things here is that; number one, also our suppliers, people involved with this project, like you can see here, the earthworks guys and everybody else locally have also now committed to this program and are joining what we call fight against hunger. And they second, Sigma itself is looking and helping in terms of training. So, of these -- 70% of these workers that are trained, driving the trucks and that came locally, and we set up a course, because many of them had never worked in mine, although they had licenses to drive the trucks and stuff, they hadn’t worked in mining. It is slightly different. They were just basically carting. And we set up course and trained these people and then slowly, slowly got into it as to that they’re fully trained. And we will be do doing also on the technical side where we would like to be involved with this opening of a technology school to give training for fitting, boiler making or electricians, this sort of thing rather locally especially for the younger generation to be trained. So it’s a very big project, something close to our heart. From day one we’ve been talking about that. And Ana’s been doing a lot of work there to bring the training courses to the city, [Technical Difficulty] importing this stuff. We have to do local training. So, it’s a big part of this ESG agenda.
Ana Cabral Gardner: And it’s all connected because then the other action we did was the childcare center sponsorship. But again, you think about this households of single women, why -- because we went to the root cause of why were they getting the food baskets in -- the food from us? Because again, one, the husbands weren’t around, they didn’t have the skills. And then the ones that had skills that worked in the services industry, mainly when the reopening happened, they didn’t have childcare. So, we worked with the towns Itinga and Araçuaí to reopen the childcare centers, so that as the economy reopens, the women could -- it was zero to three and then zero to five. So, these are kids pre-K, pre-kindergarten, so that the women could actually put the kids in childcare and then go to work to earn their money, reinsert themselves into the workforce. So, we tried to have all the actions amalgamated to a coherent and consistent program. Right? That’s it. So, we would now address questions and again, apologies for starting late, but this is a planetary, literally planetary conference call with Calvyn and I on opposite sides of the planet. So, we are happy, we put it together. So, we would take questions from the participants.
A - Calvyn Gardner: So please go ahead guys.
Ana Cabral Gardner: I answered one on a chat, but I’ll bring it back again. So, there -- I was asked, what are the challenges we’re seeing in gaining more customers? Well, there really aren’t any challenges. In fact, it’s a very favorable market, and we were very fortunate that the timing turned out to be right. It’s a seller’s my market, really. And I think our challenge is to make sure, given that our customers are the battery makers and the downstream clients, our main challenges are just to think about the deliveries because we’re promising and delivering, right? So, we’re trying to keep the contracts to a pace where the customers can count on the material at the dates we tell them we’re going to deliver, so far, so good. But that’s basically, there’s no challenge. Yes. I got another question. Compare production costs of lithium rock and lithium brine. Well, I wouldn’t be able to answer to you here right off the bat. These are entirely different operations. I think conceptually though, what tends to happen is there’s a cost curve where it all -- we call it a great equalizer, which is a cost curve for lithium carbonate. And it’s a fair one, because the lithium carbonate cost curve. And I can’t show it on the call, but I’ll talk you through it, has this a lot of salar [Technical Difficulty] as the lowest cost producer for lithium carbonate in the world, and anyone who shows anything different, it’s not being accurate. Then you have Greenbushes, which is the richest and highest yielding lithium rock mine in the world right there. Why? Because it costs more even for the lowest cost producer in the world, which is Greenbushes produce to get to the lithium carbonate right. There’s a conversion cost. And then you have -- we’re kind of right there next to Greenbushes. There’s another salar called Hombre Muerto, which also is a low cost salar. And then you have Sigma right there. So even carbon basis, we are right there at the lowest cost quartile. When it comes to lithium hydroxide, however, it’s very interesting because lithium carbonate also has to be converted into lithium hydroxide, and that cost today is north of 1,500. So, we call it great equalizer because that’s where the best rock mine and the best salars compete heads to head and end up with cost for lithium hydroxide, they’re very similar. So, I’ll answer another question. The optionality to selling 242 at 6%, it’s strength already, at 6% to be clear. And then 265 or 5.2%, how much extra worker cost, zero work, zero costs, map. It’s essentially addressed in the DMS and this is why we brought it up. Today in Australia, the producers are shipping 5.2, 5.5, that has become a standard. So, we want to highlight that we’re doing the math from 6%, even though the clients are saying send us more material to lower lithium oxide content, which is kind of what’s going on in Australia. There’s no premium for quality. So, at the end of the day, we wouldn’t get paid more for this super material. We get better commercial conditions, but no premium for quality. So that’s why we highlighted it, because it’s a real possibility that especially during these tight market conditions where everyone just wants material, we would be delivering more quantities at the slightly adjusted spec. In our case, the spec cuts of 5.5 because we got to try quality materials. So, it doesn’t make any different. Zero additional costs, just adjust the DMS. Let’s see another one. There’s another question. LG offtake contract uses which index? Well, that’s the question. We are conceptually agreeing on LME, but ultimately, there isn’t an index that’s appropriate today, because the industry used to work data mine and data mine is backwards looking, because data mine is a capsule of time, so that we would actually try to have the industry migrate to LME, which doesn’t have volume. So, this is the billion dollar question today on pricing. So, we agreed to a language around current market pricing to be determined at the time of shipping, which is kind of what everyone is doing. Spot or pre-agreed price. No, it’s basically, the -- are your contracts with LG and Mitsui? I didn’t read the question. I’m sorry. Are your contracts with LG and Mitsui based on spot or pre-agreed price formula? Could you please elaborate on your offtake price? That’s what I just said. The Mitsui has HFA [ph] which was set in 2019 at the time to Asia metals, which is essentially a spot price. Now we are basically keeping that language, but ultimately is prevailing market conditions at the time of shipping. And we like that because it favors us. Then, I have another question. Can you compare shipping costs -- can you compare shipping costs from Brazil to China versus Australia to China? Do you foresee downstream converters to be installed in the Americas in the coming years? Oh, yes. It’s already happened. POSCO announced a full billion dollar investment in Argentina, which is doing a tremendous job by the way, in order to build the lithium hydroxide plant, taking advantage of Argentina’s abundant natural resources of alternative energy and natural gas. So yes, very much so, conversion capacity happening in the Americas for the emerging Atlantic supply chain. Shipping costs. Yes. This is something that got quite disrupted during the pandemic, enhanced our clustering of production into two months. Meaning, we elected to ship 45,000 tons to use the largest ships to bring shipping costs to manageable levels, $80 per ton, around that versus what was going on in the market with lower tonnage, where it could be up to $160 per ton for like 10,000 tons, for example, when we quoted during 2021. The market’s hoping to normalize, but we prefer to take advantage of larger boats in order to control our shipping costs.
Calvyn Gardner: Just to add Ana, and also from hard or rock viewpoint, obviously talking about brine, but on a converter basis, two of being announced that I am aware of at least -- two being announced in Europe, two in the United States and at least one or probably two now in Canada. And these are announced. So, I know for the fact that is about 4 new plants. And discussions with [Technical Difficulty] right? It’s not something that we couldn’t be done by Sigma or at least the first phase of it. So, to think there will be no conversion capacity here in the west is nonsense. It will come and it’s coming probably in Europe first. But, given Americas as well as North America that’s absolutely [indiscernible] and probably we will see this first -- early next year some construction in Europe.
Ana Cabral Gardner: So, I think more questions, costs. Yes. The breakdown of the cost. Well, we’re discussing the breakdown, right? We are trying to manage our transport costs to China into a normalized shipping market. And how do we manage? By hiring bigger ships. That’s the only thing we can do, right? And that’s a disadvantage we have to Australians, indeed. Someone asked me questions about comparing from Brazil to China versus Australia to China. Well, it’s a lot cheaper to go from Australia to China. And they were initially quoting $40. It got to $60, but the normalized price for them is $40 a ton from the West Coast of Australia. So, that’s a huge advantage. Hence, our focus on being low cost so that ex-CIF level, which is where we are for 50, we are extremely competitive. So, we always look at it, CIF, China, so that we factor it in the shipping costs. And we try to manage the non-shipping related items to the best of our abilities, right? Are you seeing CapEx increases in the industry, more greenfield projects? We’re hoping to see more investment to kind of normalize market conditions of tightness. I don’t think tightness is good for the industry. Volatility isn’t good for the industry. We’ve been in the metals and mining and in the natural resources business for a couple of decades, both Calvyn and I. We’ve seen this in other metals. We think predictability is good. It allows an industry or a metal to grow to become a major metal versus a minor metal. And that’s what’s going on in lithium. Lithium is transitioning from minor metal to major metal. And we all hope you will transition to major metal. For that, you need to have more investments, more supply, more predictability, and we hope that it will happen, given the rapid adoption of EV going on.
Calvyn Gardner: But from a Sigma view point, I would like to just say, I think it’s critically important as amongst a few others that have the resource, it’s a much easier bit to increase the capacity of -- resource, so hence pushing into Phase 2. Quite frankly, if it goes like this, pushing into Phase 3, and you never know pushing into Phase 4, so that’s something I showed would be doing, would be a whole standalone on its own fact. So, that’s what I think you’re going to see, and you’ve seen like what happened in Australia very much so. Greenbushes, basically..
Ana Cabral Gardner: Yes. It happened Australia. Exactly. So, all Australian -- the current producers all increased capacity.
Calvyn Gardner: That’s the way -- that is the way, and yes, we’re going to have some greenfield stuff. No doubt. And that’s healthy. But the fact of the matter is it’s [Technical Difficulty] to happen. And Sigma is really going to be on the board with this. And it’s a big -- a real big push for us to do that. This amount of drilling 30,000 meters, almost double our drilling is simply because of this. There was no way we would do this if the market was a tight market. We’re looking to increase the resources yet and take some of the pressure off this lithium. So, us amongst others, it’s a fundamental factor at the moment.
Ana Cabral Gardner: Yes. So, I think, then the last question. I think, there’s quite a lot of questions on the contracts. I hope I have answered them all. Essentially we got the clients, the beauty of contracts, the way they were taken is that they float and they do float. So we’re not losing optionality on the prices by committing to our clients. And that’s something I want to stress very clearly. We haven’t tied ourselves up to an index that would not reflect current market conditions. And in certain instances we could didn’t even find an index at all. We left the language open, which just demonstrates the drive of the industry to secure units versus worrying about the cost of those units. Because at the moment is a unit driven negotiation. How many units you have for which dates delivery? And given that we can provide some certainty of delivery as a result of the advancement of our construction and the controls we had over CapEx, and the fact we equity funded, fully funded. So, we’re quite sought after, which kind of answers the other question, we have no problems at all in finding customers. Quite the opposite, right? And we think we’ve done a fair job, a very good job, actually in preserving these units and preserving this price upside and the price optionality for the shareholders of Sigma. Then the other question I’ve got is, the question on -- do you believe the free cash from Phase 1, SocGen needs prepayment in Sigma, -- equity and Phase 2 CapEx? We don’t know. We can only talk about Phase 2 CapEx when we have it. We’re still working on the prefeasibility study. So, we will do the feasibility and then that happens in very short order, as Calvyn said, is all worked for first half, beginning of third quarter. Prefeas comes out now soon. So when we have that CapEx, we will evaluate the current position and decide how we’re going to go about Phase 2. What’s important is that we won’t wait. We will not wait for free cash flow from Phase 1. We want to do it as much as bandwidth permits in quasi parallel, as Calvyn was saying, because the market does need a lot of lithium, and we got a lot of lithium to deliver. So, we’re trying to get this lithium to the market as fast as possible, because our clients tell us that bring the material. So hands at work. I mean, Calvyn’s there just contorted himself into a pretzel to try to get this puzzle together in order to deliver as material as possible, as quickly as possible. So, I won’t be able to answer that question, because I don’t know. I will know, and we’ll announce it as soon as we know. Then, the CFEM. I love that topic. CFEM cost of $39 million, then commercial discount of $20 million. Well, the commercial discount is the standard discount that we put in the Mitsui agreement. There is a 3% discount to trade our material. Mitsui is our commercial partner, has been with us since the beginning. And therefore, we will pay them 3% to trade our material. And we learned so much about this industry, Mitsui that, we wouldn’t think of it any different. Then the CFEM. CFEM is actually the tax I love the most. Why, because it’s the community tax. 60% of CFEM goes to the local community, to the town. This is how you do real transformation, right, is the royalty of the town. We not only like CFEM, but we also pay CFEM full, meaning we pay CFEM on the fully beneficiary product, we pay CFEM at the very end of the lithium concentrate price that we achieve at port. So, we are happy to pay. We’re proud to pay, and we think that’s a tax that is a -- that’s the one element that will demonstrate to the people of the country we’re in how transformational mining can be in communities such as ours, which have no income of their own, depend on federal aid, 94% depended on federal aid. So, that’s a way to show the communities like that can enrich with sustainable, sustainable mining. Let me see, what else questions. What was this question? Here it is. Elama’s question. Can you please comment if all civil construction electricity materials have already been contracted for delivery? Not all of them, Calvyn, there’s bulks and there’s long lead items. We go through long lead items first and then medium lead. Right, Cal? 
Calvyn Gardner: We talk about civils here, right? 
Ana Cabral Gardner: Yes.
Calvyn Gardner: Yes. It’s all in place. So it’s non-delivery of the civil, so civils -- so we’re getting -- the concrete is coming locally. And so obviously all the concrete and sand and everything else, and the main thing is rebar. So, that’s what you’re talking about here. We do actually cast in some fabrication, and that’s also ordered, yes, is the answer, but there’s not a hell of a lot of that. And then really the only other major foundation vaults, and those foundation vaults and panels have also been ordered. So, the answer on a civil basis is yes. It’s just obviously they have to get here, right? So, that’s why it’s sort of end of April, but yes, that’s where we are.
Ana Cabral Gardner: So, I think with that look, I mean, we want to thank everyone for your time. We would love to continue questions. We have Jamie Flegg and James Ellis, Vitor helping us on investor relations. Two of them are in Canada at the moment. They are based in Toronto. So, they are easily accessible to you. So, we are hoping to have more engagement with our international investors this year. Due to a presence, we opened an office in Toronto where they are going to be based. So, we are having five people based there. So, we’re looking forward to being more present in your investment decisions and the dialogue with you throughout this year as the stock finally has liquidity. So with that, I want to thank you for your time again, and apologize for being so late. But we are very happy we got this put together due to communications prowess of this team. So, thank you for your presence. Thank you for your questions. Thank you for listening. And thank you for your trust. And thank you for being with us for all this journey. The best is yet to come.
Calvyn Gardner: Thank you guys and looking forward to getting this thing into production. And again thanks for all the support.